Operator: I'd like to welcome everyone to the B2Gold Fourth Quarter and Full Year Conference Call. At this time, all participants are in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Mr. Clive Johnson, President, CEO and director. You may begin your conference, sir.
Clive Johnson: Thank you, Sherry. Well welcome everyone. As the operator said, we're here to discuss the year-end financial results for 2022. We had a very good year again and achieved our production and consolidated cost guidance and in a very strong financial position for the year. And also, we also declared another dividend of $0.04 share for three quarter. I'm going to pass it over to Mike Cinnamond now, the CFO, who's going to walk you through the highlights of the financial results. I think our news release is quite extensive about our disclosure discussion material. Michael will put the highlights and then we can answer your questions. We've did a lot of marketing in the last couple of weeks since the announcement of the Sabina deal. And we can answer or update your little bit on that and answer some questions after we finish discussing the financial results. So, with that, over to you Mike,
Michael Cinnamond: Thanks Clive. So, I'll start with the quarter and then comment a little bit on the full year results. So for the quarter, I think the story for Q4 is that our operations came through and delivered on the sort of forecast that we were going to have a big Q4. I think if you may recall, by the end of Q3, we were close to budget, but there were some delays in production at both Fekola because of water in the pit that was dewatered and then resolved at the start of the fourth quarter. And then some delays in Otjikoto just with accessing the Wolfshag underground. So that led to a big forecast Q4 to catch up on some of the high grade that we weren't able to mine in Q3 is originally scheduled. So good news is we delivered on it. In terms of results that that delivered, gold revenues were 592 million. So that was based on the sale of 339,000 ounces, which a bit higher than we'd budgeted to sell and that’s truly a function of how high the production was. So if you look at production for the queue, from our three operating mines, 353,000 ounces. 335,000 ounces higher than budget and it's a quarterly record for our operations. And if you include our share of Calibre results, we had 368,000 ounces, which is almost 40,000 ounces higher than budget. The leader in that outperformance was for Fekola, 244,000 ounces in the quarter, 37,000 ounces higher than budget quarterly record, and like I said, it came mainly from processing that higher grade material out Phase 6 at the Fekola pit that we -- some of which we thought process in Q3. But Fekola basically continued outperform all around. The processing facilities are still put in more material through them than I guess the nameplate and the mill feed grade was higher, so positive on all aspects of gold production. Masbate is 900,000 ounces. It's pretty much right on budget. There were slightly lower gold recoveries during the quarter to the nature of the higher ratio of saprolite and transitional ore versus budget, but that was offset by higher than expected feet grade so came in right on budget. Otjikoto of 60,000 ounce, little below budget and that's really just a function of the timing of get in the Wolfshag Underground. We got into the Wolfshag Underground, started producing ore there and gold there little later in Q4. So that's running well now, but we're slightly under budget in the queue. How does that factor into the operating results? Well, for the consolidated cash costs from all operations including our share Calibre $468 per ounce, very close to budget overall. Fekola was pretty much in line with budget, it had slightly higher costs, but also record production. So, it came in on budget. Masbate was a bit higher. Masbate cash costs for the queue$872 versus a budget of 752. And that's all -- production was online, so it's really just a factor of inflation driven higher costs, almost -- not almost exclusively, but mainly driven by fuel costs, which were higher for Masbate in the period. Otjikotowas $465 an ounce which is $46 below budget, and that's really just a function of the timing of getting into the underground that were lower underground mining costs because we were a little later getting into that than originally forecast. Put that all together, we pretty much came in online with budget for the queue on the cash cost site. On the oil end sustaining cost site, the total oil and sustaining cost per including our share Calibre is $892 an ounce. That's about $130 an ounce higher than budget. And that's a function of broadly aligned cash costs, as I described, but impacted by higher royalties due to higher goal price. And also, the main factor influence in it was the catch up of budgeted sustaining CapEx. So, as we reported to the end of Q3, as some of the CapEx since it was originally scheduled for earlier in the year was forecast to be caught up in Q4. And overall, we did catch up in the queue. So that's why for the quarter we get higher than budget all on sustaining costs. When you put everything together on the cost side, well, firstly on the production side, just to comment, including our share of Calibre, we came in at 1,028,000 ounces slightly above the upper half of our midpoint of our guidance range, consolidated of 990,000 to 10,50,000 ounces, so good news is right in the range and the upper half of it. Individually, Fekola came in 599,000 ounces, couldn't quite get it to that 600,000 ounces. We'll have to talk to Bill about that later. That was right at the top end of its annual guidance range of 570,000 to 600,000 ounces. Masbate came in 213,000 ounces slightly below the revised guidance range we had of 215 to 225. But remember it was at the upper end of our original guidance range of 205,000 to 215,000 ounces, and Otjikoto162,000 ounces slightly below our revised guidance range of 165,000 to 175,000. And that again, was just a function of the timing of getting into the Wolfshag underground material in the wrap up of operations there, but overall, very pleased that we came in above the midpoint of our guidance range for the year. On the cash cost only sustaining cost site. I've guided, I think we came in for the cash costs, consolidated from all ops including Calibre $660 per ounce, so right at the top end of our original guidance range of 620 to 660. So, I'd stress that that was the original guidance range, we didn't reguide on the cash costs overall consolidated basis. So, we're pleased that even in a period of higher inflation, higher costs, and definitely higher fuel costs as all mining companies have seen. We still managed to come in at the upper end of our original range. And similar story for you all in sustaining cost site, There we came in consolidate all operations including Calibre $1,033 an ounce. So pretty much within a range of $1,010 to $1,050 per ounce. And what we saw there was cash costs at the higher end of the range. Goods sold production and then the benefit of some offset, some fuel derivatives that allow us to come in overall within the all on sustained cost range. So, the operating results we're pleased to be able to report that we had our guidance basically, and on all measures. So that was good. Few comments on the operations overall, first of all, I'd like to just throw up there, how we're probably going to be describing reporting the results from our Malian operations. So there'll be the Fekola Mine, so we'll report that separately. That'll be Fekola Mine, which is everything from the Medinandi permit, which includes the Fekola pit right now in Cardinal and then we're going to separately Fekola regional, and that Fekola region will be the production from all their licenses. So Bantako, Menankoto, Bakolobi and Dandoko. And collectively, we're calling the Fekola Mine for reasonable the Fekola complex. So if you get confused about the different pieces that's the way it's going to go, so just wanted to throw that out there for you. At Fekola, you can see in our budget, we put our budget out earlier in January. And you can see that we're already in Phase 1 of Fekola regional development, which is developing the infrastructure and the roads, and some of the facilities so that we can start trucking material from the first of those Fekola Regional licenses in this case Bantako for example later in 2023, so that's ongoing. Then you'll see in our recently announced Sabina acquisition. So what we're going to do is, in addition to Fekola Regional Phase 1 and that will be Fekola regional Phase 2. Fekola Regional Phase 2 will be a report that we think will be out by midyear where we're doing a study to see if it makes sense, which we think it does. To build a sack a second mill, somewhere in those other licenses, probably in Menankoto license, and that that mill would process satellite oxide material, which we have an abundance in Menankoto licenses. So our goal with Fekola Phase 1 to continue as we have now in the budget, then to be able to absorb the continued construction in the Goose project with the Sabina acquisition with a goal that bringing out online by the first quarter of 2025. And then once we have this Fekola Phase 2 study, the regional study for that second mill. And if we decided to go decision then to schedule out around making sure that we get the Goose project completed and up and running by the first quarter '25. So you'll see us move into that second, Phase 2 Fekola construction a bit later in the process. And Bill, I think can talk a bit more about the overall scheduling and timing. Couple other comments Gramalote. Gramalote Project as we announced before, we decided jointly with our partners AGA to begin a sales process on Gramalote. And so, that process has been started so it's underway. So, we'll provide updates on that in due course. Then really just comment on a couple other things in the results. So net income, for the period trivial the shareholders company $157 million or $0.15 per share EPS. Adjusted EPS was $0.11 a share basis adjusted net income of $121 million. For the full year, earnings attributable shareholders accompany 253 million or $0.24 per share. EPS and adjusted EPS of $0.25 per share based on adjusted net income of $264 million. Just comment on the cash flows for the three months exceeded, it was a big cash flow generator for us, because of the weighting of that higher grade and the production that we have. So cash flow from operations $270 million for the queue, which was $0.25 per share. And then for the year cash flow from operations just under 600 million, 596 million, or $0.56 per share. So we're pleased with that result. On the financing side, if you look for the year 170 million outflow for dividends, so we're maintaining that dividend of $0.04 per share U.S. per quarter or $0.16 per share annualized. And while I would comment on it, at this point on the dividend, it's our intention even as we absorb the CapEx requirements for Fekola regional Phase 1 completing Goose with the Sabina acquisition, the construction there and then Fekola Phase 2. It's our intent to keep paying dividend at the current rate of gold prices stay where we are to keep, maintain our current dividend rate and work our way around those CapEx needs. Looking at investing activities for the year 389 million, pretty close to budget overall. On the operating sustaining site, we found that although there was a big catch up of sustaining CapEx in Q4 overall for the year, we came pretty close to budget. We finished the year $651 million in the bank. We're pretty much debt free. We have some outstanding project, our equipment loans and leases and some office leases, but we're pretty much debt free overall. So we've got 600 million undrawn on our line of credit. We've got another 200 million available in the recording feature that's $800 million available, not line. And so if you combine that with the 651 million cash we finished the year with, we've got total liquidity at the balance sheet date of somewhere between 1.4 billion and 1.5 billion. So it's that kind of liquidity. We've got great syndicate a bank that we deal with. We've got great partner with Caterpillar and who has been involved in all of our projects in the last few years and lots of tools in our toolbox to be able to see our way through funding those major CapEx items that I mentioned for Fekola regional Phase 1, Sabina acquisition getting that completed and getting the Goose project built on time scheduled by the first quarter of 25 and then moving also funding Fekola regional Phase 2. So I think we're in great shape overall cash flow wise, and like I said also maintain that dividend at the current rates. So I think those were the main items I was going to focus on or comment on as part of the overall results. So with that, I'll hand it back to Clive.
Clive Johnson: Great, thanks Mike. Obviously, we are very pleased with Goose results. Talk a little bit talk a little bit about the Sabina acquisition. I think everyone's aware of it now this was a -- it just a friendly all share offer to Sabina was represented at the time. Signing the deal was a 45% premium to the Sabina share price at the time. And we're very pleased with the market response. I would say so far both sets of shareholders, the B2Goal and also the Sabina share, responded very well to this deal. And we do think it's a win-win deal, which is what we've done and accomplished a many of our transactions in the past where we can bring our strength to bear to an excellent project. Sabina represents with Goose very high grade, fully permitted project, very attractive economics, very attractive exploration upside, also ready to go with the excellent team. I think that we continue to be very impressed with the work that was done by Sabina, and their close relationship and the work they've been doing with our partner and the landowner in the back of every region. We look very forward, very much to working with both Sabina and our new partners in terms of what they've already built on, which is a great platform to launch this project. It's into construction already. We've talked about that a lot on our conference calls before and some of the research has picked up on that, but we we're comfortable with the schedule. We're comfortable with the projected capital cost, and this is going to be a team effort working to work with our well regarded very successful construction exploration development production teams working with this very strong team at Sabina that Bruce McLeod has done a very good job of getting the project to in construction at this point. The deal itself to us was a very accretive deal. And we had the opportunity and we were trading at one 1x now when they were trading at 0.4x that asset value. So, we were able to pay a significant premium, yet stay within our parameters of the creative deal. And I want to just talk a little bit about that, because I think, that there's been a lot of criticism for what considered to be large premiums in the deals such as this. At the end of the day, we don't get to perturb or obsess with premiums. We're about value. So this project, we assessed a value that we were prepared to offer to the civilian shareholders, a $1.1 billion Canadian of our shares. As I said, that represented a significant premium to the deal. But the fact of the matter is the premium was some significant, because of the fact that where there's stock into trading and obviously very difficult of the global market generally for equity isn't great right now, but it's also particularly difficult for single asset development companies or expiration companies. So we were able to offer what we think was a fair value, a good deal for the showrooms of Sabina, and also stay within our parameters and what an accretive deal to us. So, the market response so far suggests that the market seems to understand that, and as I said, there's good widespread approval for the deal. I'm going to pass it over to Randall Chatwin right now just to talk a little bit about the timing of the deal from that perspective.
Randall Chatwin: Thanks, Clive. As we signed the deal last week, the parties are working hard towards a schedule and it currently looks like we were going to Sabina shareholder meeting middle of April. The interim court hearing would be just prior to that time, working backwards from there. That would mean a circular going out probably around the middle of March. And that would get us to a completion date about the third week of April. So, I expect on the ordinary course of a BC plan arrangement, we would be done by the end of April for sure. And in the meantime, we've got lots of conversation with Bruce. And then, we have -- we're very much on the same page, each go to Sabina, which is maintained the schedule that they're on now. A lot of important things are coming up now with the winter road and all those initiatives. So the idea from both sides is to maintain the schedule and do the work required as we move to close this deal to make sure that Bruce and his team are continuing on with the development they've been doing, and wherever we can do the support and help. This is also great expiration opportunity, I think, we would say, as well as this project has a tremendous potential in the Black River district, very large property and some excellent geology and excellent drill results, suggesting that not only is Goose opened down plunge, but there's another nearby zone called George, which is a -- good resource so far. I think around 700,000 ounces and very much open, but also our geologist eyes really light up as I know Bruce's team feels the same way. When you think about the potential of this whole district, there's been some very good dual intercepts quite a long distance away from Goose and various I that have not had extensive drilling. So one of the things that we do bring to the party is the, our approach to expiration and our ability to fund expiration. So as part of our plan here, we would be able to crank up expiration starting as soon as we can to test not only the down pledge potential of Goose and George, how big does that, but also all these other targets. So, understandably and I've been where we've been, where Bruce has been before in our careers, you're trying to get our mind financially built on a typical circumstance. So your focus is obvious on everything you can do to continue to advance the project and they've done a great job with that. Expiration is on the high priority list to spend at that stage. So, I think that's a real advantage. And of course, the Sabina shareholders, as the deal closes, getting our shares, we'll get to, we'll see the benefits from each of those shares of this project as we work together to make it a great line. The expiration upside also of course this industry leading dividend that we're paying, but also the Sabina shareholder is to become each of gold shareholders. So strategically, this is a very good fit. We believe a very good fit for a big goal going forward. But you're like talking about our plans to expand Fekola, the potential there is in two stages work is underway, we track them separately together, I don't know and the next stage that we had this report in June is positive, which we expected we'll be building the second mill to the north could be somewhere 253 million of capital investment for that. But the potential there between those two phases would be to add them to under constant production to a quarter, which would take us 800,000 level, that will be considered continued just to expect to be low-cost production. So that's a great asset. And as far from over in terms of the amount of excavation, we're continuing to do that and not only sublease, but we had some spectacular recent results deeper in sulphide particularly in the Masbate resource to the north. So that fits in very well strategically and that is the Goose lathe mine rather is potential as we've seen in disclosure to [indiscernible], starting currently scheduled for the first quarter of 2025. So if you put those two together, there's 0.5 million ounces of production, annual production growth in the not too distant future here from existing assets as the deal closes for me to go. That's a great growth profile plus all the exploration and other things that we're doing. We're very focused on that, as we've always been when we acquire a project. And in this case, you won't see us doing any significant mergers and acquisitions for the foreseeable future. We would like to growth profile. Obviously, this is some geographical diversification for us as well, which we were keen on and on our shares as well. So this is part of the strategy that's been going on for about 13 years now. Accretive acquisitions with good expiration upside, building the mines, very good construction work to be done in this case in conjunction with the Sabina team. And it fits right in our wheelhouse with our northern experience as well, of course with two projects from [indiscernible] in the north of Russia along construction team, some of the key members that are available to assist forward. So strategically, it's a very good fit. And our strategy going forward would be to maintain our extraordinary financial strength, which allows us to do this to frankly continue to grow the Company. But we're pretty focused on the assets we have in-house, and as I said the growth profile to us looks very exciting. We're very pleased with this new opportunity. With that, I think, we'll open up the questions.
Operator: [Operator Instructions] Today's first question will come from the line of the Ovais Habib with Scotia Bank. Your line is open.
Ovais Habib: Clive just a couple of questions from me. Starting off with the Fekola complex. In the press release and then I think Mike Cinnamond has also talked about the Company's expecting the construction timeline Fekola regional standalone oxide mill will be scheduled allow for completion of the project in I guess Q1 of 2025. So, am I thinking of this correctly that Anaconda standalone mill construction then would commence in early 2025? And does Fekola complex production still achieve 800,000 ounces in 2026?
Clive Johnson: Yes, I think I'll pass it over to Bill to respond to that, but before I do that was in my notes, but I missed one of the things I want to reemphasize because I think it's been, some people have missed it. We're not going to try and build two significant mills at the same time. We never have in our history. We're not going to start now. That's part of the focus that we talked about. So, the way the schedule looks out and Bill can respond. The whole idea is to schedule this in. So we can do both and we can be very focused on both faces of expansion Fekola, but in the between those phases, the construction at Goose. So over to you Bill.
William Lytle: Thanks, Brian. So, I think it's important really to understand where we're at in the permitting schedule for all this stuff. So if you think about Anaconda Phase 1 that's been permitted, that's in construction. We see that coming online really in Q3 of this year. So let's assume that that one happens. We just took the executive out there and everyone was quite impressed with where we're at. So, that one's done. We think that one's a given. Now you've got the Back River project, which is fully permitted. All of their equipment is coming to site and basically the -- a lot of the foundational work, the groundwork has already been done. So, when the ice road opens up here, they'll start dragging material down the road and they're going to start doing rebar, concrete work, all the stuff, try and get the mill weathered in this year. So basically, they're quite a bit ahead of where Anaconda is at. So you can imagine a scenario where we stand up the mills or stand up the buildings with all the concrete and rebar and steel, that, then -- that's what happens in ‘23. Now in ’24, they'll be building -- they'll be installing the mills and everything into the buildings for Q1 2025 commissioning. So you can imagine at the Phase 2 Anaconda stuff, what we're proposing is there, there'll be a study completed at the end of Q2, which is on schedule that will allow us really to kind of sequence what happens after in 2024. So if you could see that the rebar people, the concrete people, they're going to be available in 2024. So I don't say that that we're going to move away from it and that it won't happen at ‘26. You could see a path where those guys could get into the Anaconda regional mill in 2024 and 2025, a two year bill and hit the schedule right at 2026. So you'd see, ‘23 Phase 1 coming on, ‘25 Q1 Back River coming on, ’26 between sometime between ‘26 and ’27 still yet to be defined because the study's not out yet. But the Phase 2 Anaconda mill coming on, that's how we see it.
Ovais Habib: And just on my second question just related to Fekola complex study that you just talked about that's expected in Q2. Will the study specifically look at the standalone mill at Anaconda only or this includes Fekola underground as well and then kind of general optimization of the Fekola complex?
William Lytle: Right, so, we were just talking about this morning, the Anaconda, the Phase 2 study really looks at the Anaconda mill as part of the overall complex. It doesn't include the underground stuff for sure, because that's within the Fekola complex, but we are looking at additional sources of saprolite, right? Do you bring in Dandoko? What happens with Bakolobi? All that stuff we're starting to figure out where it all goes. So, it really is a regional look and of course there is the zero alternative where you wouldn't do it. We don't see that as real, but that is part of the study.
Ovais Habib: And just my last question, just switching gears to Masbate. Masbate is expected produce about 180,000 ounces this year. Bill, how should we be looking at Masbate kind a near and long term? Should we be expecting production to remain at current levels over the next three to five years? And maybe if you can just give us a little bit color on the exploration opportunity there kind of to improve, increase the current bond life.
Clive Johnson: Yes. So I'll do the first part, and then I guess Vic, you'll probably do the second part. So, what we did is we took a look at really the capital cost of replacing the fleet. And that's how we went from that. We had kind of areal short, high output mine life. And then instead we went, as you just said, its three to five years at kind of that 175, 185. And that's what we're going to see for sure. We've kind of normalized it by bringing back or reducing some of the capital costs for the fleet, which brought it down from 200,000 ounces, but of course extended that period. And then you see, I think, it's six or seven years on the low-grade stockpile after that kind of in the 100,000 ounces. So, as far as what we see as far as exploration, Vic, I don't know.
Victor King: Yes. The bulk of the exploration drilling at Masbate is essentially beneath the existing bit. It's an island, and the regional potential around Masbate itself, it's not that we don't have any targets, but they're not as prolific as we have said, Fekola or Back River. It's a fairly advanced mine site. What we are doing in the Philippines is this year we have setting up a 100% owned Philippine exploration entity. And we are looking at other opportunities within the Philippines leveraging of our position and our presence in the country. So that's something that is seeing a lot more attention in the Philippines.
Clive Johnson: We've seen a really positive response from the -- we were making progress before where the previous government has showing them that gold mining or open pit mining could be responsible, the response from the Philippines and our success and some others. And that's gotten even more positive with the recent elections with the government that is very much keen on foreign investment and very, very keen on more investment in mining, mining expiration, mining development. So, we're very pleased with that and then encouraged by the government to do look at more development and expiration opportunities going forward. So, we're better to build another gold mine than in the country that you've already have one in. So that's going to be that's a new focus for us. And this is part of the reflection of the opportunities in the Philippines that we see in an extremely mineralized [indiscernible] islands not all mineral minerals, I suppose. But it also that combined with the government, that's really encouraging successful for investors like ours to increase our vessel, which we're open to initially starting through expiration.
Operator: Thank you. One moment for our next question and that will come from the line of Carey MacRury with Canaccord Genuity. Your line is open.
Carey MacRury: Just a couple of follow ups on Anaconda. Can you just remind me what's required from a permitting standpoint for the Anaconda Phase 2 and sort of what timeline is around that?
Clive Johnson: Yes. So, I'll certainly answer it from the operational side, and Mike, if you want to talk about it from the financial stability side. So on the permitting side, we're currently working through a feasibility document, which would be submitted, that's what is coming out at the end of Q2. Based on that of course, and the ESIA, we assume that, we'll get a construction permit. And I just want to reiterate the desire of the government to make this project go. We were just down there where we met with the Minister of Mines, and that was really one of the first questions out of his mouth was, how quickly can you guys put this in to operation, we will support it and go as fast as the law allows. So we don't see any issues with getting the permit for that. And certainly the government is interested in us doing this as quickly as possible.
Michael Cinnamond: On the, I guess, on the various agreements site, so each of the licenses, we've got four other licenses there. Each of them needs to have the mining license granted, and then we put in place the mining convention, and the shareholders agreement with the state. So things we did for Fekola. We're working on that right now, the first one being Bantako, so that we can bring some Bantako material into the plan this year. So I think we will use that as a template, they're all going to be under the 2019 mining code, we believe. And once we get Bantako, one that we can have the template for the others, and the one thing that's different for these licenses than when we did Fekola, we're also going to have following agreements because we're going to have potentially five licenses and up to two mills to process the material from those licenses. So, we'll have to have a little bit of interaction between the licenses, as well. But same as usual, under the 2019 Code, we're going to mining convention that'll stabilize the taxes, tax regime, and I guess the overall operating regime that those will be built and operated under. And as business as usual, we learned a lot from doing it Fekola. So I think we'll find out a quicker process this time around.
Carey MacRury: So at Fekola remain government owns 20% I think at Anaconda, they do 10% currently with the option for 10%. Are those discussions going to happen as well this year as part of this feasibility process?
Michael Cinnamond: Yes. They'll happen in conjunction with a feasibility the mining code lays out that each party will have a valuation done. And then they'll negotiate what they think. And evaluation, they can agree between themselves, which is exactly what we did for Fekola. And then the state -- we expect to stay it'll take a second 10% as before, so we think only 20%. So all licenses will end up being 80/20 Fekola and the others that's what we expect to see. But that happens at each feasibility is filed and the valuations are great.
Carey MacRury: And then maybe just one more on Sabina. And I know this was probably a moving target, but like, can you talk about how much Sabina has funded of the CapEx to-date and sort of high level? What sort of CapEx numbers should we be thinking about for the Sabina for the rest of this year?
Clive Johnson: I can't say how much they fund it. We haven't seen their latest numbers. Remember right now, the roads opening up. So that number is changing on almost daily basis. Where I will tell you is that when we did the due diligence and we looked at this thing. We kind of, we looked at what they were doing. And we looked at the potential to move the underground for which they obviously had looked at as well. And I think they had CAD640 in their study. We think the number is 800 is what we threw in ours. So, we think the number is somewhere between CAD750 and CAD850. But we in our study, we put CAD800.
Michael Cinnamond: There's a lot of updates that they'll come up with in terms of updating from that original feasibility study number. So, a lot of some things that were in that goes back to the feasibility study. Don't forget that initial capital estimate. So we've done a lot of work on due diligence or working with them to come up with a number that we will feel comfortable with.
Carey MacRury: Of that 800 roughly 35% has been spent trying to estimate as of the end of the year. And then 65% funded and committed. So that's kind of where we sit based on what we've seen from Sabina so far?
Michael Cinnamond: Advancing the underground, there's about 65 million, that is -- that they said the 800 estimate that was not in the 640 estimate that's some other…
Clive Johnson: That's right. The difference there, it's not just inflation. There's also some optimizations and improvements that include in the 65 million front of that mining.
Operator: Thank you. [Operator Instructions] And that will come from the line of Harmen Puri with Bank of America. Your line is open.
Harmen Puri: Some of my questions have actually already been asked and answered, but maybe just one final one from me. On Gramalote, can you provide us with some sense for how advanced the sales process is right now? Or any sort of color you can provide on maybe the interest you're seeing?
Clive Johnson: Well, I think just a high level summary, we've appointed an advisor and we're about to commence the actual phase one of the process. We're just prepping everything. So that's where we're at. And it's hard to say for sure, but we expect it'll be somewhere within a six month timeline I think for a process to be action been completed hopefully. There's nothing on our current fashion cash forecast Q4 that includes sale Masbate. There's nothing in there for that at this point.
Harmen Puri: And just on your stake in caliber, do you still view that as something maybe non-core and something that can also be divested over the next year or two?
Clive Johnson: Yes, we have no plans to that. We think they're doing a good job. And that's been a good transaction for all included for our Nicaragua employees as they moved from Beach go to Caliber and that's been great success and they've kept up with a lot of the environmental social programs and things that we've done. We're a happy show there and we have no reason or need to sell a block. And then, since you brought that up, let's talk a little bit about our other projects. People have wondered with the Sabina deal Fekola growth. Are we considering selling other assets? The answer is no. We just got back from a great Africa tour. We had a great trip to Fekola and good meetings in Mali and then went on down -- similarly grade two of them mine and meetings. We're very happy with those jurisdictions. We just mentioned the Philippines. We're very happy when we're doing the Philippines. In fact, on all jurisdictions, we're committed, of course, the potential significant further investment in Mali with the second mill on and ongoing expiration work. So we're not interested this we'd like, we really like to the fit we have now the existing minds, the potential to dispense the Fekola and of course would be with the successful closing of Sabina deal. We laid that out. So we're not looking to sell emission assets. Remember launch, unfortunately, we tried hard, unfortunately, we weren't able to upgrade it financially to be at the point of guys opportunity, but we -- for us, it fit with us now. It's formerly announces in a good part of Columbia to be in and that's okay with the permit, et cetera. And then we're confident the summer was going to take that on. And then we have some returns to our short.
Operator: Thank you. And speakers, I'm showing no further questions in the queue at this time. I would now like to turn the call back over to Mr. Clive Johnson for any closing remarks.
Clive Johnson: Thanks, operator. Yes, I guess, in summary, in closing, very pleased with the year end results. And it's a real tribute once again, I think to our teams, coming off of the Africa tour recently here and being in the Philippines not long ago. It really struck me just how extraordinary the talented our group of people are the 5,000 employees that we have at B2Gold. We're very proud of our ESG track record is a lot of its great information on our website and our responsible mining report about our commitment to that. I think that's well known and established, but we sit in a great position in the Company today. We're very strong in operations, extraordinarily strong in health and safety for elements of our business, low-cost producer, debt free. Now has the opportunity for dramatic growth over the next two to four years. We're -- we like where we sit and looking forward to rolling our pursuits and working with producer's team at Sabina on what is a great project. We're happy to be able to announce that deal. I'm looking forward to closing it. So I think that's all we have for now. Thank you. We'll be updating you shortly, and I'm sure we'll talk to some of the people on the line at the BMO Conference next week. So thank you for your time.
Operator: Thank you all for participating. This concludes today's program. You may now disconnect.